Operator: Good morning, ladies and gentlemen. And welcome to Trican Well Service First Quarter 2024 Earnings Results Conference Call and Webcast. As a reminder, this conference call is being recorded. I would now like to turn the meeting over to Mr. Brad Fedora, President and Chief Executive Officer of Trican Well Service Limited. Please go ahead, Mr. Fedora.
Brad Fedora: Good morning. Thanks for joining us, everyone. First, Scott Matson, our CFO, will give an overview of the quarterly results. I will then provide some comments with respect to the quarter and the current operating conditions and our views for the outlook of the future, and then we’ll open the call for questions. Several members of our executive team are here today in the room and are available to answer any questions that everybody may have. I’ll now turn the call over, Scott.
Scott Matson: Thanks, Brad. Before we begin, I’d like to remind everyone that this conference call may contain forward-looking statements and other information based on current expectations or results for the company. Certain material factors or assumptions that were applied in drawing conclusions or making projections are reflected in the Forward-Looking Information section of our MD&A for Q1 of 2024. A number of business risks and uncertainties could cause actual results to differ materially from these forward-looking statements and our financial outlook. Please refer to our annual information form for the year-ended December 31, 2023, for a more complete description of the business risks and uncertainties facing Trican. This document is available on our website and on SEDAR. During this call, we will refer to several common industry terms and use certain non-GAAP measures, which are more fully described in our Q1 2024 MD&A. And our quarterly results were released after close of market last night and are available both on SEDAR and our website. So, with that, let’s move on to our results for the quarter. Most of my comments will draw comparisons to the first quarter of last year, but I’ll also provide some commentary about our quarterly activity and our expectations going forward. Trican’s results for the quarter compared to last year’s Q1 were solid, but not quite as strong, based on moderately reduced activity year-over-year. The quarter started a bit slower than we anticipated, with a snap of extremely cold weather delaying some of our customers’ operations as we started back in earnest of January. With that, revenue for the quarter was $271.9 million, with adjusted EBITDA of $72.8 million, or 27% of revenues. Again, not quite as strong as the $81.6 million of revenues we generated last year, but still very solid. This was mainly a result of activity levels on the frac side of the business being a little slower due to the start of the year, combined with the job mix and the specific customer well designs and programs that we executed during the quarter. Adjusted EBITDAs came in at $74.4 million or 27% of revenues. To arrive at EBITDAs, we add back the effects of cash-settled share-based compensation recognized in the quarter to more clearly show the results of our operations and remove some of the financial noise associated with changes in our share price as we mark-to-market these items. On a consolidated basis, we continue to generate positive earnings, generating $41.2 million in the quarter, which translates to $0.20 per share basic and $0.19 per share on a fully diluted basis. Trican generated free cash flow of $49.9 million during the quarter. Our definition of free cash flow is essentially EBITDAs less non-discretionary cash expenditures, which include maintenance capital, interest, current income tax and cash-settled stock-based comp. You can see more details on this in our non-GAAP measures section of the MD&A. Capital expenditures for the quarter totaled $15.3 million, split between our maintenance capital of $11.5 million and upgrade capital of $3.8 million. Our upgrade capital was dedicated mainly to the electrification of ancillary frac equipment and ongoing investments to maintain the productive capacity of Trican’s active equipment. During Q1 2024, we deployed our fifth Tier 4 fleet and the second group of electric ancillary equipment into the field and we are extremely happy with the operational and financial performance of this equipment. Balance sheet remained in excellent shape. We exited the quarter with positive working capital of approximately $175 million, including cash of $9.3 million. As we anticipated, our cash position decreased compared to year-end. The major factors that contributed were as follows. Working capital increased by $74 million due to the uptick in Q1 activity and we would expect the majority of this to unwind as we move through the summer. Tax payments were a combined $39.7 million with $36.4 million related to our 2023 tax bill, which we telegraphed throughout 2023. The remainder related to our ongoing installments for 2024. NCIB funding was $16.7 million in the quarter with our share repurchase program still in active flight and our dividend payment was $9.3 million. With respect to our return of capital strategy, we repurchased and canceled 4.0 million shares under the NCIB program in Q1 of 2024, and subsequent to the quarter, we purchased and canceled an additional 1.6 million shares and continue to be active with our buyback program, and Brad will provide a bit more color on our NCIB strategy a bit later. As noted in our press release, the Board of Directors approved a dividend of $0.045 per share, reflecting approximately $9.1 million in aggregate spend to shareholders. The distribution is scheduled to be made on June 28, 2024 to shareholders of record as of the close of business on June 14, 2024, and I would note that the dividends are designated as eligible dividends for Canadian income tax purposes. So, with that, I’ll turn things back over to Brad.
Brad Fedora: Okay. My comments will include Q1 and current and forward-looking observations, and I’ll try to keep my comments brief so we can get to questions. Overall, I think, Q1 went quite well in the context of commodity prices. We had some weather delays in January and had some work delayed into Q2, but that is always the case. There’s always weather delays and things are always moving around. So, I would say overall, the quarter went pretty much as expected and we were happy with the outcome. It was -- we were disappointed that there is pricing pressure in the business today and it never seems to end with competitors positioning themselves, trying to fill their boats for the winter, et cetera. Typically, when the pricing game starts, we don’t participate. The equipment has a finite amount of hours and we expect to make a reasonable return on each hour that our equipment is operating. So, we will just hunker down and work in areas and with customers that we can make a reasonable return and where they value the service that we provide. In general, I would say cost inflation has basically stopped or is quite muted. In fact, we’ve actually experienced some cost reductions in certain areas, which has helped mitigate some of the pricing pressure that we’re experiencing. On the fracturing side, we are still operating with seven fracturing crews. We have five parked fleets. In the first quarter, we commissioned our fifth Tier 4 fleet, which is designed as a high-pressure fleet to operate primarily in the Duvernay and the high-pressure areas of the Montney. We’re still operating about 60% of our total horsepower in comparison to our competitors that are basically operating at capacity. And what that means is that as the basin grows, we are uniquely positioned to take advantage of increased activity. The equipment that we have parked is ready to go into the field, just needs to be crewed. As per usual, our fracturing operations are focused almost exclusively in the Montney, Duvernay, and Deep Basin. On -- in our cementing division, the cementing division continues to operate at essentially 100% utilization of crude equipment and generated great results in the quarter, an indication of our expertise and leading market position in the service line. We generated 10% higher revenue and EBITDA than we did in Q1 last year, and most of that is attributed to our market share in the Montney and the increases in overall well length that our customers are drilling. We completed over 1,100 cement jobs in Q1 with 69 different clients and we completed the deepest well in Canada just over 9,000 meters. So we’re very proud of our crews and their accomplishments in Q1 with what is often a difficult quarter to operate with the weather. We still have about a 35% market share in the overall basin and about a 50% market share in the Montney and Deep Basin. So we’re looking to build on that, certainly, and we gravitate towards areas where we think we can provide the best service and value for our customers and ultimately make the best return for our shareholders. So we’re very happy with the performance of this division and we view ourselves as a technical leader with a great customer list and we continue to focus on this division and we’ll grow it accordingly. On the technology side, we have made investments in technology and cementing and in our equipment. And this is just based on providing better cement blends and more operations to try to reduce things like rigging time. In the coil division, we’re making good progress in this division. We’ve been focusing on growing our market share as we feel we’re not operating at an optimal level. We continue to operate only seven coil crews, so lots of room for growth. We grew our revenue 12% year-over-year in Q1. We’ve recently entered into a strategic partnership with a specialized tool company to grow our market share in the oily areas of the basin that have multilateral well designs and this is a market that we’re not currently active in at all, so very excited to see how this unfolds over the summer. We have great margins in this division, but overall our scale is still too small, so we’ll continue to focus on growing this and provide better returns as this division gets better. Just overall outlook, we’re looking forward to a second quarter that we believe will be better than previously expected. Our customers are getting better every year at level loading their drilling and completions activities throughout the year. Some of the Q1 work always bumps into Q2. In fact, we’re now working with our customers to move some of their Q3 work forward into Q2 to avoid potential water restriction issues caused by drought conditions in certain areas of western Canada. So we’re looking forward to a very good Q2 and we expect that the first half of 2024 will be at least as good as the first half of 2023. We’ll closely monitor the water availability issues, which is a key component to a fracturing operation. Certain areas of Western Canada have drought conditions and definitely could cause water restrictions issues this summer with potable water. So, Trican, fortunately, we have the largest laboratory and engineering group in Canada and we’ve been leveraging this expertise and our proprietary chemical offering to provide our customers with solutions to help alleviate the water issues and the potential restrictions and we’ll continue to work with them. And fortunately, I think a lot of the customer base, having experienced drought conditions last year and looking forward to maybe more drought conditions this year, have been doing lots of work to plan for water for the summer, like building pits, storing water, looking at recycle options, looking at produce water options. So we don’t expect there to be a significant interruption this summer from water restrictions, as I think the industry pretty much is ahead of the game. Northeast BC fortunately relies heavily on produced water and so that’s where a lot of the LNG-based drilling is happening today. Overall, I would say, half of our -- over half of our customers use non-potable water in their operations and we expect this to increase. Unfortunately, we will also be monitoring forest fire activity throughout BC and Alberta, as these could impact access to our field operations and delay work from this summer into the fall and into the winter. As you know, all of our equipment is on wheels and so there’s no risk to the equipment or the people generally, but it does may shut down roads and restrict access to certain areas of the basin. Overall, we expect the second half of 2024 to be good, but not quite as strong as last year, and that’s just due to low gas prices and potential water issues and what’s looking like maybe some forest fire issues, but still good -- we still expect to have a very good year. Unfortunately, natural gas prices have improved significantly over the last month or so, and the strip going forward into this fall and into 2025 is at very economic levels. Montney will continue to be the focal point of activity in the basin. The Duvernay is building momentum. It’s a very fracturing, intensive play. We participate in the Duvernay now in a fairly significant way and we expect our market share is going to continue to grow. Our fleet of equipment, and certainly our fifth Tier 4 fleet, which is designed almost specifically for the Duvernay, will allow us to outperform our competitors in this part of the world. Our corporate priorities remain the same. We want to build a resilient, sustainable and differentiated company with technology, invest in high growth opportunities and upgrade our existing equipment to make sure that we have a value-added product offering for our customers, and then ultimately provide a consistent return of capital to our shareholders. Even though this year you might be a little bit choppy with the water and the forest fires, we still expect the next few years to be very attractive. We view Western Canada as a great place to grow our business over the long-term. We believe Canada will play an increasingly important role in providing natural gas to the world, as the world starts to electrify its infrastructure, of course, that electricity has to come from somewhere and basically, Canadian natural gas is the cleanest form of energy that we can use to generate electricity. We expect LNG-based drilling to remain very active. We’re still expecting the first cargoes of natural gas to leave the West Coast in early 2025. This provides, for the first time ever, a very stable foundation of activity in the basin that we’ve never had before. So that allows us to look at our business very differently. We’re starting to make three-year and five-year plans now that, in previous cycles, you wouldn’t even bother with because of the volatility. It seems like the industry now is much more predictable. The spending is much more thoughtful. The level loading throughout the quarters has improved significantly. It’s a very different business today. In the 26 years I’ve been operating this business, I’ve never felt this good about the next five years. Our customers are still spending only about 50% of their free cash flow on drilling and completions, and their balance sheets are in great shape. And so we think that’ll be a foundation of sort of very predictable, thoughtful activity going forward. We have a very clean balance sheet still. We’re still operating with a slight cash balance that allows us to execute on any strategic plan that we develop and take advantage of any volatility that may happen in the marketplace. And as we’ve talked about before, the logistics system in Western Canada is basically operating at capacity in certain areas, so we’re still looking at making strategic investments in the logistics value chain, particularly in BC, to create more efficient operations and a more reliable supply of sand for our customers. Track intensity on a per well basis is still growing. We’re still seeing large sand volumes, 50 to 100 railcars of sand per well is the norm. A few years ago, we were 5 million tons, 6 million tons of sand per year and this year we expect to be well over 8 million tons. So when you think about how to make profits in this sector, certainly you need to get control of the logistics system and your ability to make or lose money based on how well you execute your logistics is fairly significant. So for us, we looked at this as a great opportunity to expand our margins by getting a better control of our logistics system. We still have the most efficient fracturing fleet in Canada. We spent the last two years developing our Tier 4 pumps, but we’re on to the next thing. We continue to differentiate our offering and what we’ve been focused on in the last year is the electric ancillary equipment that goes along with those Tier 4 pumps. We’re the only pumping company in Canada with those electric backsides. It’s been very well received by customers. The demand for this equipment well exceeds its supply and we’re very happy with the performance of the equipment so far, particularly in the winter, when you can have a lot of issues with hydraulic hoses and things like that. So the electric equipment operates very well in various weather conditions. We are operating two sets of this equipment today and we’re in the process of building our third for activation this fall. When you combine the equipment with the Tier 4 pumps, we’re getting up to 90% natural gas substitution on location. So, obviously, our customers are excited because it’s a significant reduction in fuel costs and emissions. The equipment is very reliable. Typically, a conventional blender is the biggest source of fracturing delays or non-productive time on location. Our electric blender has been performing fantastic. And then to better defend from shutdowns, we’ve developed battery technology that, even if we’ve had natural gas interruptions into the electricity generation, we can operate that equipment off batteries, so a very significant reduction in downtime. We expect electric equipment will eventually be the standardized technology in Canada. There are certain logistical issues with the remoteness of a lot of our operations that we’re trying to work through. It’s easier to do in the U.S., but we’re taking advantage of our experience with this electric gear to get better informed, understand how it performs, and so that we can stay ahead of our competitors from a technology perspective. Lastly, I’ll just touch on our return of capital strategy. We generate significant free cash flow and maintain a clean balance sheet. We subscribe to a diversified return of capital through a combination of base level dividend and the NCIB, when it represents a good investment for our shareholders in the context of all of our other investment opportunities. And so we’ve been very active in the NCIB for the last few years. We’ve viewed it as a great investment. We have no intentions of changing that anytime soon, but as an oilfield services company, we experience fairly significant swings in our working capital and cash balance just due to the timing of when you receive your accounts receivables. So, between CapEx, dividends and the NCIB, we expect to spend more than 100% of our free cash flow in 2024 and have no intentions of building any cash and actually expect to exit this year with basically zero cash to maybe a little bit of debt, a little bit of cash, but basically cash debt neutral. So, we’re going to be very active in our NCIB over the summer. We’ve repurchased and cancelled about 40% of the program and we fully intend to fully intent to -- fully execute on this program by the end of September, early October. As a reminder, we -- last year we repurchased just under 23 million shares. Between the NCIB and the dividend, we returned about $113 million to shareholders. So, we value the return of capital to shareholders. We understand it’s become an important ingredient for any successful company operating in the sector and we certainly think we will maintain our leading position of having significant returns to shareholders, both in the form of NCIB and in the dividend. And lastly, just a reminder, we did declare our Q2 dividend. It’ll be payable at the end of June. I think with the record date of mid-June, I think, June 14th to be exact. And as we discussed in our last call, we increased our dividend from $0.04 a share -- $0.045 a share to account for the reduction in shares resulting from the NCIB last year. We expect to keep our dividend payout of approximately $35 million consistent from year-to-year and we will likely raise the dividend per share in accordance with the reduction of shares pursuant to any NCIB activity. So, we’re very fortunate to be in the position that we’re in. We look at Canada for the next three years to five years and see nothing but positive signs and we’ll continue to execute and provide returns to our shareholders. So I’ll stop there, Operator and we can take questions.
Operator: Thank you. [Operator Instructions] The first question comes from Aaron MacNeil with TD Cowen. Please go ahead.
Aaron MacNeil: Good morning. Thanks for taking my questions. Brad, you mentioned the first half would look at least as good as the first half of 2023. I’m just wondering if you could give us a sense of the order of magnitude in terms of how much revenue is deferred from Q1 into Q2 and then how much revenue do you think will be pulled from Q3 into Q2? It obviously doesn’t have to be exact. I’m just sort of looking for a ballpark?
Brad Fedora: I don’t actually know those numbers off hand, but it would be like $10 million to $20 million is sort of moving around from quarter-to-quarter…
Aaron MacNeil: Got you.
Brad Fedora: … in that ballpark. The same thing from Q3 into Q2. So nothing major, but in a quarter that historically has been sort of a thorn in the industry’s side, it’s nice to now have a quarter that doesn’t only generate EBITDA and free cash flow, but actually earnings. So when we look at the first half of this year compared to last year, it looks to be as good.
Aaron MacNeil: Makes sense. And then sort of a bigger picture question, just given your comments on the long-term visibility of the business, is there a case to be made to either look at selling frac assets to buyers outside of Canada or cannibalizing assets over time to reduce your capacity, or do you see a scenario where your idle assets are eventually utilized?
Brad Fedora: We are doing both. We focus on older technology that we don’t think operates efficiently and we only sell it outside of the basin. Obviously, we don’t want to compete against our own assets six months from now. But as with any industry, the technology changes and so 2,250 horsepower pumps or even 2,500 horsepower pumps that don’t have a more durable power and they’re really not appropriate for the basin anymore. So I think we have -- this company over the last five years, seven years has done a great job of getting rid of obsolete assets into areas where they can still operate. So we talk about fleets. As we all know, that’s a general term, but, yeah, we have -- I think we’ve done a very good job of making sure that the fleet that we do keep is current and up-to-date and is appropriate for the kind of work that we’re doing.
Aaron MacNeil: Is it fair to assume there’s a bit more wood to chop there or how should we think about that?
Brad Fedora: Yeah. There’s always refinements in equipment, but I think we’re not going to release these kind of details. But I think you’d be surprised at how much obsolete equipment this company has sold over the last five years, seven years.
Aaron MacNeil: Makes sense. Thanks, Brad. I’ll turn it over.
Operator: [Operator Instructions] The next question comes from Cole Pereira with Stifel. Please go ahead.
Cole Pereira: Hi. Good morning, all. So thinking about the year-over-year changes, it sounds like the first half should be pretty flat. Under the assumption the second half of the year is maybe 5% lower from an EBITDA standpoint, that kind of translates into a net year-over-year decline in the 2% to 3% range. Is that kind of how we should be thinking about it?
Brad Fedora: That’s a tough question just because of the potential impacts of water and fires. If we weren’t dealing with those issues, I would say, absolutely, that’s probably a pretty safe assumption for you to make. But given sort of the unknowns around restricted access to certain areas with firefighting, just to stay out of the way of firefighters, we’re not sure how the summer is going to unfold. So I’ve given you a long answer, Cole. But I am not -- I think you’ve got to make your own estimates. I don’t think we want to guide you on those quite yet.
Cole Pereira: Yeah. Fair enough. That makes total sense. And just wanted to come back to your earlier comments on pricing, just to clarify. So market pricing has decreased modestly, but you haven’t seen a reduction in your own equipment. Is that fair?
Brad Fedora: No, no, no. We’ve experienced pricing pressure, I would say, much less significantly than our peers. But there -- we’ve had savings from our suppliers. We are -- we get better at our jobs every day as well. So we’ve seen that pricing pressure. We’ve been able to maintain margins. But I think for the most part, pricing has stabilized.
Cole Pereira: Got it. And then, I think, we’re all expecting a lot of activity tailwinds in a 2025 that probably requires more frac spreads, but you’ve had some competitors add incremental spreads at a lower price point. How do you think about mitigating that going forward in a potential scenario where just given your price discipline, other keep -- others keep jumping you in line in terms of fleet additions?
Brad Fedora: Yeah. I mean, that’s definitely a concern. I mean, as you know, it’s a closed system or zero-sum game. It’s -- there’s only so much work to go around. We’re just very thoughtful about where we put our efforts and the type of customers we want to work with. And not surprisingly, those customers are typically looking for efficiency and value and don’t see the bid price as the most important component to their operation. So, you can run around chasing bids and cutting prices and you have that customer for a while. We typically like to have long-term symbiotic relationships with our customer base and that’s proven by our top 10 customers, which have basically been with us for 10 plus years. So, we pick our spots. At the end of the day, we don’t care about market share. We care about returns and we’ll govern ourselves according to making sure that we’re providing good service to our customers, but also in return we want customers that want us to make a return for our shareholders as well. So, we pick our spots. There’s lots of customers. We’re happy to compete from an operations performance basis with any competitor and typically have done quite well when that’s the criteria. So, we’ll figure it out.
Cole Pereira: Got it. That’s all for me. Thanks. I’ll turn it back.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Fedora for any closing remarks. Please go ahead.
Brad Fedora: Okay. Thanks, everyone. We appreciate your time. The management team will be generally available throughout today and tomorrow if you have any follow-up questions. Thanks for calling in.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.